Operator: Ladies and gentlemen, thank you for joining us, and welcome to the Anaergia Q3 2025 Conference Call and Webcast. [Operator Instructions] I will now hand the conference over to Darlene Webb, Investor Relations. Please go ahead.
Darlene Webb: Thank you very much, operator, and good morning, everyone. On today's call, we'll be discussing Anaergia's earnings for the third quarter of 2025, which ended September 30, 2025. If you're following along with our slide deck, which is available here on our live streaming webcast or you can also access it directly from our Investors section of the website, my comments relate specifically to Slides 1 through 3. On Slide 2, you'll see that on today's call, I am joined by Mr. Assaf Onn, Anaergia's Chief Executive Officer; Mr. Greg Wolf, Anaergia's Chief Financial Officer; and Dr. Yaniv Scherson, Anaergia's Chief Operating Officer. Before beginning our formal remarks, we would like to refer you to Slide 3 of the presentation, which contains a caution on forward-looking information and a note on the use of non-GAAP or IFRS measures. Listeners are reminded, as always, that today's discussions may contain forward-looking statements that reflect current views with respect to future events. Any such statements are subject to risks and uncertainties that could cause actual results to differ materially from those anticipated in these forward-looking statements. Anaergia does not undertake to update any forward-looking statements, except as may be required by applicable laws. Listeners are urged to review the full discussion of risk factors in the company's prospectus that is filed with the Canadian securities regulators. And with that, I'll turn the call over to Assaf.
Assaf Onn: Thank you, Darlene. Good morning, everyone. We are now on Slide 4. It is real privilege to be here today sharing our results. Q3 was not just a defining quarter for Anaergia, it was a glimpse of our future. After many consecutive quarters of negative adjusted EBITDA, we are once again in positive territory. This is a remarkable milestone and more than that, it is proof that our transformation is real. When we launched the Anaergia 2.0, we were rebuilding from the inside out, not simply fixing what was broken, but reimagining what was possible. We set out to design a company capable of doing what only a handful of others in the world can and do it better, to reimagine every stage of the waste to renewable cycle and to show that turning waste into green energy is not a dream, it is where science meets engineering, where curiosity meets precision and where technology begins to serve both people and planet. And now you can see that vision taking shape. Revenue is growing sharply, margins are expanding and adjusted EBITDA is positive once again. But what matter most is not only that numbers are improving, it is why they are improving. They're improving because this team believes, because our strategy is precise and because our purpose is powerful. We will now move to Slide 5. We said Anaergia would become the benchmark for this industry and quarter-by-quarter, we are proving it. Our revenue backlog reached $287 million by quarter end, nearly triple where we began the year. That is not only growth, it is momentum. It shows that our customers trust us, our partners want to build with us and our brand means reliability, performance and innovation. Anaergia is no longer a company in transition. It is a company in motion, a company that is earning its place among the most trusted names in clean energy, not because of marketing, but because of results. When we introduced Anaergia 2.0, we committed to 5 priorities: operational efficiency, capital sales, geographic expansion, strategic partnerships and a stronger balance sheet. In Q3, we delivered progress on all 5. We are executing with precision, scaling intelligently and bringing technology and purpose together in a way a few companies can. Anaergia 2.0 is working. And more importantly, it is working the right way with discipline, with heart and with vision. The company we are building is not only financially stronger, it is becoming a symbol of what clean energy future can look like: profitable, circular and sustainable. That's what drives me every day, the belief that innovation and responsibility can coexist and that doing good for the planet can also mean doing well for shareholders. This is how great companies are born through clarity, through the courage to challenge convention and through belief in what is possible. It is that belief that drives us forward, the conviction that innovation and discipline can coexist, that engineering can be art and that progress when pursued with purpose can truly shape the world. That is what Anaergia stands for. With that, I will turn the call over to Greg, who will walk you through the financials and details behind the quarter's performance. Greg?
Gregory Wolf: Thank you, Assaf, and good morning, everyone. I'm now speaking to Slide 6 and 7. Q3 was a defining quarter for Anaergia and one that truly reflects the financial strength now emerging under Anaergia 2.0. Revenue for the quarter was $51.4 million, an increase of 77% or $22.3 million compared to $29 million in the same period in 2024. That growth was led by our capital sales business with a particularly strong performance in Italy and North America regions where we're seeing consistent demand and repeat business. Gross profit for the quarter was $14.8 million, up 146% from $6 million in Q3 last year. That's a dramatic improvement, mainly driven by higher gross profit in our Capital Sales segment and the efficiency gains we have all been working towards. Gross margins climbed to 28.8%, up from 20.7% in Q3 2024. That's an 8.1% gross margin increase, the result of a business that's sharper, leaner and more focused on profitability at every stage. SG&A expenses were $14 million, down 16% or $2.7 million from $16.7 million last year. We continue to run the business with discipline while ensuring we have the right structure to support growth. These reductions are robust and reflect lasting changes on how we operate. Turning to the bottom line. Net loss was $0.5 million in Q3 2025 compared to a net loss of $15.6 million in Q3 2024, that's an improvement of more than $15 million year-over-year, a clear step towards sustainable profitability and evidence that our transformation is taking hold. It's an achievement that really underscores how far we have come, and it's incredibly rewarding to see the progress show up clearly in our results. Now moving to adjusted EBITDA. Adjusted EBITDA was positive $2.6 million compared to a loss of $6.4 million last year, an improvement of $9 million or nearly 140% improvement. This is the first time in over 2 years that the company achieved positive results. These results are different from the past. This is not a one-off quarter. This is what we set out to be in July of 2024, a sustainable, long-term, profitable RNG technology company that delivers full turnkey solutions around the world. This is just the beginning of our journey with a positive direction in revenue growth, solid gross margins and a growing pipeline of opportunities. On a year-to-date basis, revenue increased nearly 40% to $108.5 million, and our adjusted EBITDA loss narrowed to just $3.6 million compared to a $20.6 million loss last year, an 82.5% improvement on a year-over-year basis. That's a substantial turnaround, and it's been driven by management's focus on our core technology platform, turnkey delivery offerings and project execution. Now moving to Slide 8, revenue backlog. As a reminder, our backlog rule is only signed contract work in our Capital Sales segment as of the reporting date and conservatively only counts 3 years of long-term O&M contracts even though O&M contracts are typically 5 to 15 years in duration. Our revenue backlog continues to grow, reaching $287 million at quarter end, up from $244 million in Q2 and $103 million in the start of the year. That's a 179% increase year-to-date. This shows the strength of our customers' confidence and market demand for Anaergia's technology and delivery model. Backlog growth was led by new signed contracts in Italy and North America. In addition, we announced a $184 million multi-site framework in Spain, of which the first project of the 16 projects was signed into revenue backlog during Q3 2025, the remaining 15 committed projects will be added to revenue backlog as they are executed. We continue to strengthen our position in Europe's renewable gas market as well as advance our work in North America with a focus on project sales under our capital-light model. The substantial backlog and internal pipeline provides visibility, stability and confidence in the quarters and years ahead. In summary, this was a breakthrough financial quarter for Anaergia. Revenue substantially grew, margins improved, overhead costs continue to come down and adjusted EBITDA turned positive for the first time in over 2 years. And that's just the start. With that, I'll turn it over to Yaniv, who will take you through the operational highlights and the execution driving these results. Yaniv?
Yaniv Scherson: Thank you, Greg. We're now on Slide 10. Q3 was an exceptional quarter for Anaergia, not only in terms of results, but in what those results represent. The business continues to strengthen and align across segments. The strong revenue growth, that Greg just described, a result of the successful execution of revenue backlog and the successful launch of our recently booked projects. Across our global operations, execution has been our priority. This past quarter, Europe has seen a surge in bookings in large in part due to strong incentive tailwinds and disciplined focus in strategic regions where we have long-standing presence. In Italy, construction is progressing on the Livorno facility, the country's first plant to co-digest wastewater sludge and source-separated organics for biomethane production. Our partnerships with Bioenerys and QGM continue to advance with follow-on orders across projects Moglia, Elionia and Ostellato that together represent $44 million in expected revenues. These repeat collaborations demonstrate the confidence our customers have in Anaergia's technology and delivery record. In Spain, momentum is strong. Our agreement with PreZero near Bilbao marks our first source-separated organics to biomethane project in the country, representing about $7 million in expected revenue. Additionally, in Spain, as we heard from Greg, we secured a major multisite framework agreement to supply advanced technologies from over 15 biomethane plants, valued at roughly $184 million. Among these are contract with Nortegas Renovables, a subsidiary of Nortegas Group, will convert organic waste into renewable biomethane, an important component of our broader Spanish presence with about $18 million of expected revenue for Anaergia. Taken together, these projects represent meaningful customer commitments this quarter and momentum behind Anaergia 2.0, where the market opportunity is translating into measurable growth. Beyond Europe, we are continuing to deliver on projects worldwide. In Singapore, construction continues on the integrated waste management facility at Tuas View Basin, one of the largest and most advanced co-digestion complexes in the world. The project is roughly halfway complete and remains on track for phase commissioning beginning next year. In North America, our wastewater co-digestion to RNG development project in Riverside, California, secured conditional financing commitment for EPC and O&M services anticipated to generate $39 million of revenue. Moving to Slide 11. Our build-own-operate facilities remain important contributors. The SoCal Biomethane plant continues to perform, as it awaits approval of its long-term offtaker agreement under California Senate Bills 1440 program. In New England, our Rhode Island bioenergy facility continues to ramp up production, converting food waste from across the region into renewable natural gas supplied to Irving Oil under a long-term offtake agreement with CI score under CFR awaiting approval. These projects are strengthening Anaergia's global platform and presence with geographically diversified exposure, enabling the company to capitalize on global biogas tailwinds. Inside the company, our focus is on operational efficiency that discipline has allowed us to contribute to a record quarter with revenue up 77% year-over-year and the company returning to positive adjusted EBITDA. We're now on Slide 12. Our revenue backlog continued to grow this quarter, 18% over Q2, reaching $287 million at the end of September, nearly triple what it was at the start of the year. And on Slide 13, across continents and industries, Anaergia is as part of a global shift, turning waste into renewable energy, reducing emissions and building infrastructure for regional energy security. That's what Anaergia 2.0 is about; precision, partnership and performance, a platform that turns innovation into impact. With that, I'll turn it back to Assaf.
Assaf Onn: Thank you, Yaniv. Q3 marks more than a financial turning point. It marks the moment Anaergia began to realize the full potential of the company. We achieved positive adjusted EBITDA, we expanded revenue backlog and we proved that a disciplined purpose-driving strategy delivers results. But very importantly, we start a new belief in this company, in the mission of the company and in what Anaergia stands for. We can move to the next slide. We are the engineers of change. We turn waste into something viable, and we do it at scale, reliably, efficiently and with purpose. That is what Anaergia 2.0 represents not only a turnaround, but the transformation, the company becoming desired because it stands for something greater than itself, a company that leads by example. Our momentum is real, our vision is bold and our future is bright, and this is only the beginning. Thank you for your continued support and belief in Anaergia. We look forward to sharing more progress with you next quarter. I will now turn the call back over to Darlene, who will open the Q&A portion of this call. Darlene?
Darlene Webb: Thank you, Assaf. Operator, we may now open the call to questions.
Operator: [Operator Instructions] Your first question comes from the line of Craig Irwin with ROTH Capital Partners.
Craig Irwin: Congratulations on this really strong quarter here. Can you maybe just unpack for us a little bit the $16 million ahead of our model is really impressive. Where are things going really right for you guys? I know you have to actually build and install a lot of this equipment across the globe to be able to deliver revenue like this. Clearly, your supply chain is working, your manufacturing is clicking together with the good margins. What's going so very well with you on the execution side?
Assaf Onn: Yaniv?
Yaniv Scherson: Yes, Craig, I think it's a good question. I appreciate it. What's clicking for us is repeat business and multiple contracts where we have similar scopes. And so we're able to drive efficiencies because of preferred vendors, common design, some bulk purchasing power and also shifting into larger scope contracts, so we're stepping into turnkey deliveries. And with that all in play, it's allowing us to continue to execute the same projects and designs we've done in the past, but under a standardized approach with larger scope and value.
Craig Irwin: Well, that's an impressive result. I mean, $15 million is a lot of revenue to generate as far as upside. Next question I have is around the backlog and the bookings. So $244 million to $287 million, that's $40 million-plus sequential increase in backlog, but you still had a better than $50 million quarter there. So chunky bookings again this quarter, but you only booked a small portion of some of these projects like your project in Spain. Can you maybe talk about the scope that's out there in your existing agreements that could contribute to backlog that burns off in '26? For example, you've done one project for Spain. Could you potentially finish another 1 or 2 in the fourth quarter? How many a year would you see as reasonable inside the total, I think, you said 14 plants that could be built?
Gregory Wolf: Yaniv, do you want to take that one. Craig, I think what we're seeing is, obviously, those projects get signed and they go into our backlog. We have one signed in Q3. So it's just beginning, actually. So actual revenue on that project will be over the next 18 months. But every time we add another one, obviously, we continue to add to our revenue that will be produced over the duration of each and every project, right? So those projects will continue to get signed into our backlog. It's a committed pipeline, but they go into our backlog as we sign each and every one of them. So in 2026, we expect a sizable amount of the number of contracts we have out there to sign into production.
Operator: Your next question comes from Ben Stonkus with Haywood.
Ben Stonkus: Congrats on the strong quarter. Just looking at EBITDA growth, how do you guys plan to sustain long-term EBITDA growth going forward under this new capital-light model?
Gregory Wolf: Sure. We look at the market as very young. So when we look at the opportunities we're seeing, not only what we have in backlog right now, but what we have in pipeline, we look at a decade-plus of just really sizable growth in our back -- in our pipeline backlog as well as every project that we complete, we look for a long-term O&M contract which then becomes a repeat business for 15- to 15-year type agreements. So we're in a very good spot in the industry. The fact that we are worldwide can do EP work, engineering procurement; and EPC work in North America and Europe right now, it's -- we're in a great spot. And so we look at repeat revenues and growth through backlog growth and execution year-over-year.
Ben Stonkus: Perfect. That makes sense. And I guess for my follow-up, how should we be looking at SG&A moving forward as your revenues continue to ramp working through this large backlog?
Gregory Wolf: Sure. So our SG&A is really the overhead side of it. As we take on more engineering, more in-house project management, that becomes all project cost of sales, cost to produce these projects, which is what we've been doing. Our SG&A, we expect it to be normal increases in inflationary type of increases for people. And so we expect it not to grow very much at all in the next few years other than normal increases in what we need to do as a company to retain the best.
Operator: Your next question comes from Donangelo Volpe with Beacon Securities.
Donangelo Volpe: Kind of just a follow-up to the previous questions. Can we talk about the size of the overall pipeline? How we should look at backlog expansion/execution, as we're heading into fiscal '26? And maybe if you guys could provide some color on some of the geographies you guys are most optimistic about. We had good growth out of Italy and North America, just curious on other hubs we should be focused on?
Gregory Wolf: Sure. Assaf, you want to speak to that one?
Assaf Onn: Sure. Donangelo, we are -- we see still Europe and North America, not just North, the Americas, are a major potential for the upcoming revenues, but Asia in central locations is growing quite rapid. And as you know, we are already there. So we see a potential for the 2026 and '27 onwards with a few Asian companies -- countries, sorry, that we are under negotiation at the moment.
Donangelo Volpe: Okay. And then I guess, just a follow-up, just looking at the adjusted EBITDA figure. We consider it to be outperformance for the quarter for sure at $2.6 million. Just kind of curious on what levers you guys have available to kind of drive margins higher? Where we can kind of see this growing to in the future? And if we should continuously see margin expansion as the company continues to scale?
Gregory Wolf: Yes. We always are looking for further margin expansion where we can get it. Some things that are helpful for us is the kind of the rinse and repeat projects that we have. We have some that are of size, and so we're able to leverage our subcontractors, our equipment side gets more efficient, right, with materials as we're building in-house. So our cost structure goes down as we have more of the same type of work, obviously, on the equipment side that we manufacture with all of our patents is clearly, we get economies of scale there as well as it's also on the construction side, as we build several with the same contractors, we're able to drive down overall cost and increase margins where we can, so we're always looking to increase the margins. We're very focused on operational results, and it's very important to us, obviously. So yes, we think there's opportunity to continue to grow that area as we leverage others.
Donangelo Volpe: Okay. Great. Congratulations on the results, guys. Keep up the positive momentum. I'll hop back in the queue.
Operator: Your next question comes from the line of Alexandra Ricci with Paradigm Capital.
James Smith: This is James Smith for Alex Ricci. First, just congratulations, everyone, on the first positive quarter of EBITDA. My question revolves around gross margin. Maybe to speak to what you expect for a normalized gross margin moving forward? And then do you see any seasonality as well with the business kind of coming into these winter months?
Gregory Wolf: Sure. Gross margins, we peg our project, our cap sales in the 20% to 30% range in our O&M in the 40 mark. Our build-own-operate even this year has been a little bit of a drag on our gross margins in the business. But in general, though, we still are in the upper 20s in a gross margin perspective. So we think that's the range for ours is right in this area. So we think we're in a very good spot. But these projects are large, so to have large projects producing these margins is obviously attributable to our technology platform and our know-how to achieve such good margins at these size contracts.
James Smith: Okay. Awesome. And then the seasonality around the business...
Gregory Wolf: Yes, seasonality. There really isn't seasonality. It's really -- it's going to go on construction schedules, 18 months is probably the average duration of project builds, but it can go 2 years. But in the beginning of a project, it's a little bit slower as you're ramping up on the engineering and getting everyone lined up. And then when you get in the middle of the project, that's when you're hitting it heavy. And so it's not seasonal to the time of the year. It's really just -- it's a project cycle, right? So the beginning is a little bit slower. The tail end of it as you wrap up certain things and get commissioning done and you roll into like a longer-term O&M, that can be like a little bit of a ramp down on a project cycle one project. And in the middle of the project, you're very heavy in construction and manufacturing of our equipment.
James Smith: And then just a follow-up, just what type of competition have you guys been seeing in the bidding [Technical Difficulty].
Gregory Wolf: I'm sorry. It's hard to hear.
James Smith: Sorry. Just what type of competition are you seeing in the bidding pipeline here recently?
Gregory Wolf: We don't have a lot of competition across the system. It's -- usually we go in with some engineering upfront and pretty much it's about a 99% chance we get the work after we finish the engineering, the preliminary engineering. There are others that manufacture certain other pieces of equipment, that sort of stuff, but not the technology that we have that produces a much higher yield for our investors. So we don't really see a direct competitor per se that can do this. If someone takes the lead on a EPC type of project, we're always in the EP side of it in the technology platform, which is excellent workforce. So from a competition standpoint, we really don't have a lot of direct competition anywhere in our system.
Operator: [Operator Instructions] We have no further questions in the queue. I will now turn the call back over to Darlene Webb for closing remarks.
Darlene Webb: Thank you, operator, and thank you, everyone. As always, for additional information or should you have any questions, please contact the IR team at ir@anaergia.com or visit us online at anaergia.com. Thank you all again for your time today. Operator, you may now end the call.
Operator: This concludes today's call. Thank you for attending. You may now disconnect.